Operator: Greetings, and welcome to the Sinclair Broadcast Group Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lucy Rutishauser, Senior Vice President and Chief Financial Officer. Thank you. You may begin.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, operator. Participating on the call with me today are David Smith, Executive Chairman; David Amy, Vice Chairman; Chris Ripley, President and CEO; Steve Marks, Executive Vice President and Chief Operating Officer of our Television Group; Robert Weisbord, Vice President and COO of our Digital Group; and Steve Pruett, Executive Vice President and Chief TV Development Officer. Before we begin, Felicia McIntyre (01:02) will make our forward-looking statement disclaimer.
Unverified Participant: Certain matters discussed on this call may include forward-looking statements regarding, among other things, future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors. Such factors have been set forth in the company's most recent reports as filed with the SEC and included in our third quarter earnings release. The company undertakes no obligation to update these forward-looking statements. The company uses its website as a key source of company information, which can be accessed at www.sbgi.net. In accordance with Regulation FD, this call is being made available to the public. A webcast replay will be available on our website later today and will remain available until our next quarterly earnings release. Included on the call will be a discussion of non-GAAP financial measures, specifically television broadcast cash flow, EBITDA, free cash flow and leverage. These metrics are not meant to replace GAAP measurements, but are provided as supplemental detail to assist the public in their analysis and valuation of our company. A reconciliation of the non-GAAP financial measures to the GAAP measures in our financial statements is provided on our website under Investors, Non-GAAP Measures. Chris Ripley will now take you through our operating highlights.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Before we go through the results, let me review some of the more meaningful activities that have taken place since our last earnings call. Many of you, probably, read that the FCC is expecting to vote in favor of local ownership deregulation and ATSC 3.0 deployment at its November meeting. This is a landmark development for our industry as a whole, and we applaud the FCC for recognizing the competitive inequities levied upon TV broadcasters for several decades while emerging technologies, media distributors and content providers have been allowed to consolidate and freely deploy technical platforms. Reforming the ownership rules and allowing for technological innovation are both necessary for the future of over-the-air broadcasting. We're glad to have an FCC that recognizes that need. On September 1, we welcomed the addition of the Bonten Media Group stations to our company when we closed the previously announced acquisition. Bonten adds eight new markets to our footprint, bringing the number of stations that we own or to which we provide services to 192. On October 19, the Tribune Media shareholders overwhelmingly voted in favor of our proposed acquisition. We anticipate the transaction will close in early 2018, subject to customary closing conditions, including the approval by the Federal Communications Commission and anti-trust clearance at the Department of Justice. We expect to fund the purchase through the combination of cash on hand, and by accessing the capital markets, which is backed up by a fully committed debt financing. In September, we entered into a multi-year agreement with CBS on the renewal of four affiliations and in August we entered into a multi-year renewal on five FOX network affiliations that had expired. The FOX deal includes the ability to participate in virtual MVPD deals. And both deals highlight the mutually beneficial network affiliate model whose bonds are stronger than ever. We continue to work with the networks and virtual MVPDs for compensated broad distribution, which has led to an agreement with YouTube TV for all of our big four affiliates to be carried as YouTube TV launches in those markets. As part of this agreement, YouTube TV will deliver Tennis Channel to all its subscribers and since the announcement it has expanded its offering to include our CW stations, MyTV stations and Comet TV. More recently, we entered into a similar agreement with Sony Vue, under which they will include all of our local TV broadcast stations as well as Tennis and Comet on their platform. It's important to point out that having local broadcast stations, local news and unique and compelling content is very important to these virtual MVPDs as they launch their platforms. Meanwhile our professional wrestling promotion, Ring of Honor, continues to expand distribution, adding almost 2 million Canadian households. Turning to ATSC 3.0, we continue to work with Saankhya Labs for the design of a next-generation chip for ATSC 3.0 fixed and mobile reception and to bring finished chips to the marketplace. This work and investment follows an earlier announced project incubation stage that helped define a new software defined radio chip architecture to support the first truly mobile next-generation global standard chipset. Our stations continue to produce important high-quality news and receive recognition that reflects our commitment to and investment in local news. Recently our station in Columbus, Ohio received 11 regional Emmy Awards, adding to the already impressive 100-plus group-wide total for 2017. Several of our Texas stations have received 21 nominations for the Lone Star EMMY Awards Gala. We would like to congratulate everyone in our news organization on their relentless pursuit of the truth and alerting and empowering our viewers. Localism is an important part of what we do, and there's no better example of that than the ways we give back to our local communities. This past quarter, we awarded seven promising college students studying in broadcast related fields with our Broadcast Diversity Scholarship. Through our television stations' outreach in their community, we raised approximately $1.5 million to the Sinclair Cares Standing Strong for Texas fundraiser. The monies were donated to the Salvation Army to help the victims of Hurricane Harvey in Texas. Last but not least, I want to thank our employees who have diligently worked to ensure a smooth transition of Bonten and the upcoming Tribune acquisition. Now Lucy will take you through the third quarter results.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, Chris. Turning to the financial details. Media revenues for the third quarter were $624 million, a decrease of 1.7%, or $11 million lower than third quarter, primarily driven by the absence of political revenues in a non-election year, $10 million in Olympic revenues received in 2016, as well as a $3 million impact from the hurricanes in Texas and Florida and other one-time adjustments. This was offset, in part, by higher retransmission and digital revenues. On a pro-forma basis, third quarter 2017 media revenues were $638 million, 3% lower than pro forma third quarter 2016, primarily due to the same reasons as just discussed. Political revenues in the third quarter were $7 million versus $45 million in the third quarter of last year, which was a presidential election year. Media operating expenses in the third quarter, defined as media production and media SG&A expenses before barter, were $402 million, up 9% from third quarter last year, and were $410 million on a pro forma basis. In both cases, primarily the result of higher reverse retrans fees on network renewals, startup costs related to our revenue generating initiatives and system upgrades. This was offset, in part, by lower normal operating expenses. Our reported media expenses, excluding Bonten, were slightly favorable to our prior guidance. Corporate overhead in the quarter was $17 million, excluding $9 million of one-time legal and acquisition costs related to the Bonten and Tribune acquisitions as well as spectrum auction cost. This is slightly favorable to our prior guidance. For 2017, excluding $21 million of costs related to acquisitions and the spectrum auction, corporate overhead is estimated to be $73 million, flat to prior year and also slightly better than prior guidance. Research and development costs were $3 million in the quarter. For 2017, we are estimating $13 million in ONE Media expenses relating to the transition and implementation of ATSC 3.0; this is no change to prior guidance. Adjusting for the $12 million impact of the items I discussed earlier, third quarter EBITDA was $188 million in the quarter, which reflects the absence of political and Olympic revenues versus last year. Excluding Bonten, EBITDA was $2 million above our adjusted EBITDA guide of $183 million. Net interest expense for the quarter was $50 million, down $3 million versus third quarter last year on scheduled debt amortization, including a repayment of debt on Alarm Funding, which we sold in first quarter. Our weighted average cost of debt for the company is approximately 5%. For 2017 we are estimating net interest expense to be $207 million. Diluted earnings per share on 103 million weighted average common shares was $0.30 in the quarter or $0.37 per share when adjusted. We generated a $100 million of free cash flow in the quarter after one-time transaction and spectrum expenses. Our EBITDA to free cash flow conversion ratio remains an impressive 55%. We are reconfirming our 2017-2018 free cash flow guidance pre-Tribune of $975 million to $1.50 billion or $4.75 to $5.15 per share on 102 million shares. And we are reconfirming our post-Tribune free cash flow guidance of $1.7 billion to $1.77 billion or $6.90 to $7.20 on 122 million shares. Turning to the balance sheet and cash flow highlights. Routine CapEx in the third quarter were $21 million. For 2017, we expect routine CapEx to be $83 million versus the prior guidance of $85 million to $90 million. This excludes $12 million of expenditures related to the repack, which we will get reimbursed for from the spectrum auction government proceeds. Cash programming payments during the quarter were $27 million. For 2017 we are reconfirming our cash programming payments of $112 million, which would be flat to 2016. Net cash taxes paid in the third quarter were $16 million. For the year, we are forecasting to pay $115 million in net taxes on continuing operations. At September 30, total debt was $4.56 billion, including $29 million of non-guaranteed and VIE debt. Cash on hand at September 30 was $602 million plus $311 million of spectrum auction proceeds in qualifying intermediary accounts. In addition, we had $484 million available on our revolver, bringing total liquidity to over $1.3 billion. Total net leverage through the holding company at quarter end was 3.5 times on a trailing eight-quarter basis, excluding the VIE and non-guaranteed debt and net of cash. The first lien indebtedness ratio on a trailing eight quarters was 1.3 times on a covenant of 4.25 times. We estimate our two-year average holding company net leverage to be approximately 3.4 times by the end of 2017, which is below the low end of our target leverage. This is one of the strongest balance sheets and credit profiles in our publicly traded history. Pro forma for the Tribune acquisition and assuming an early 2018 closing date, total net leverage would be in the high-4 times at the time of closing. As previously stated, we expect to quickly de-lever to the low-4 times by the end of 2018. So within one year, we expect to return to the upper range of our target leverage, a reflection of our cash flow generation potential. During the quarter, we repaid $15 million of scheduled debt amortization and distributed $18 million in dividends. We also repurchased 1 million shares of our common stock at an average price of $30 per share. Now, Steve Marks will take you through our operating performance.
Steven M. Marks - Sinclair Broadcast Group, Inc.: Thank you, Lucy and good morning everybody. In the third quarter, our revenues were reduced by just over $1 billion as a result of the hurricanes in Texas and Florida that impacted several of our markets. Excluding unanticipated weather events, out of business technical schools, Olympics in August of last year, and excluding Bonten, core advertising revenues were up over 2% on a pro forma basis, within the low end of our guidance. For the third quarter, political revenues were $7 million versus $45 million in the third quarter of 2016, a comparison typical of a non-election year. As we discussed last quarter, we are gearing up for the 2018 political season. With over 2,300 hours of local news per week, our recent portfolio of news awards and our leading digital platforms, we would expect that to translate into positive share gains for us. Excluding political revenues, we grew significant share in third quarter, outdistancing our peers by a comfortable margin. When you consider our portfolio of affiliations across all networks, including the weaker ones, it reflects that our strategies are working. The market share results exclude digital performance, which, as you know, we have among the best, if not, the best digital performance in the entire industry. Speaking of which, excluding new digital investments, we grew our digital business by 30% in the third quarter. Turning to our outlook, which does not include Tribune or the spectrum repack. For fourth quarter, we are expecting media revenues to be approximately $682 million to $684 million, down about 6% as compared to fourth quarter 2016 due to the absence of political revenues in a non-election year. Fourth quarter guidance includes a political revenue expectation of $10 million versus $113 million last year. Pro forma core advertising revenues in the fourth quarter, excluding political, are expected to be up mid single-digit percentage points versus the same period last year. For the year, media revenues are expected to be approximately $2.541 billion to $2.543 billion, up 1.6% to 1.7% versus 2016 as reported media revenues of $2.5 billion. 2017 pro forma media revenues are expected to be $2.598 billion, down only 1% versus 2016 pro forma media revenues of $2.616 billion. Not bad given this year was a non-political, non-Olympian year. Adjusted pro forma core advertising revenue for the year is expected to be flat to up single-digits, excluding and adjusted for hurricanes and so on. On the expense side, we are forecasting media expenses in the fourth quarter to be approximately $420 million versus $382 million in the fourth quarter of 2016, with the majority of the increase coming from reverse retrans acquisitions and revenue generating initiatives. On a pro forma basis, fourth quarter expenses are estimated to increase 8% on the same drivers. This is offset in part by a decrease in normal operating expenses. For the year, media expenses are forecasted to be $1.6 billion and $1.625 billion on a pro forma basis versus 2016 pro forma media expenses of $1.503 billion, an 8% increase. Again the increases are due primarily to higher reverse retrans acquisition initiatives and system upgrade expenses offset by a decrease in normal operating expenses. For the year, normal operating expenses are expected to be down low single-digits. EBITDA in the fourth quarter, adjusted for $6 million in acquisition costs, is expected to be approximately $220 million to $222 million versus as reported fourth quarter 2016 EBITDA of $312 million, and versus pro forma fourth quarter 2016 EBITDA of $324 million, primarily due to the absence of political. For the full-year, EBITDA adjusted for acquisition and spectrum costs, the hurricane and other one-time adjustments is expected to be $789 million to $791 million versus 2016 EBITDA of $913 million. Pro forma adjusted EBITDA for 2017 is expected to be $816 million to $818 million versus 2016 pro forma EBITDA of $956 million. Free cash flow in the fourth quarter adjusted for acquisition costs is expected to be approximately $119 million to $121 million and $398 million to $399 million for the year. Adjusted pro forma free cash flow for the year is expected to be about approximately $426 million. With that, I would like to open it up to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. Thank you. Our first question comes from the line of Marci Ryvicker with Wells Fargo. Please proceed with your question.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Just wanted (21:54) to the Q4 guide. A lot of times, you'll give us a number and then there are all of these one-time things that cause you to (22:04) and I think that's what's happening with your stock price. So can you talk about in the fourth quarter, the mid-single digit, what one-timers will you have to offset that mid-single digits? Will you have a hurricane impact continuing into the fourth quarter? And I think you're through the schools, correct?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Yeah. So I'll take that one. So Marci, there's about $6 million of acquisition cost in Q4, and that – so that's really going to run through corporate overhead. There will not be – we're done with schools. We lapped that here in the third quarter. So really all you're looking at are one-time acquisition costs, which is the only thing (22:47) we're adjusting for in fourth quarter, nothing on the revenue side, hurricane was all third quarter.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then I just want to clarify, when you talk about pro forma, because you gave us a lot of numbers for 2016, that includes Bonten as of 01/01/2016. Correct?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: That's correct.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then I just want to make sure on – you gave a core number for 2017 of flat to up low singles, that is inclusive or exclusive of schools and hurricanes?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: So that excludes the hurricane impact.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: It excludes the Olympics, it excludes the technical schools who were in the first part of the year. And it includes Bonten as they were in for 2016 and 2017. So that's again pro forma for everything that we have.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And then I want to ask one non-financial question. Just anything that you can comment on what we're reading in the press about Sinclair's conversations or negotiations with Bill O'Reilly?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So Marci, as you can imagine, we get approached all the time by a lot of people and he did approach us, which I suspect where some of these stories are coming from. But we do not have any interest in hiring him.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. And I have one follow-up. When you talk about excluding Olympics, is that 100% of Olympics or the displaced (24:21) Olympics?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: So, the $10 million was already an incremental number.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Thank you so much.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you.
Operator: Our next question comes from the line of Alexia Quadrani with JPMorgan. Please proceed with your question.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi, thank you. Just two quick questions if I may. First, any impacts from the greater pay-TV subscriber losses to your retrans outlook or do you see this largely offset by the gains that you addressed in terms of the virtual MVPD distribution? And then secondly, if you could comment, I guess on the DOJ specifically, do you have a view on when the DOJ will examine the definition of local advertising market? Do you think they'll move to include local cable or do you think they actually widen it even further?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Okay. So, on subscribers, we have seen some slight declines this year, but we really have not had the benefit of the virtual MVPDs. Most of our deals were just either very recently signed. And, of course, our markets tend to roll on these MVPDs a little bit later after launch, since we're in the medium sized markets predominantly. So, we're expecting the benefit of those virtual MVPDs to start kicking in here in the quarters to come as they gain subscribers, which they are. But it's really not – has not been material to our overall retrans since we're still making up for a huge gap in terms of what we get paid versus the audience that we deliver. And on the DOJ, that's an ongoing process. We have – we've, obviously, presented a very strong case that, at the very least, cable should be included in the market definition. I think it's sort of un-defendable to not at least look at that. And so only time will tell as they go through their process, what their view of the market will be. But we feel incredibly confident that our – that we're in the right in terms of our view of the marketplace.
Steven M. Marks - Sinclair Broadcast Group, Inc.: I think the other thing to give some appreciation to is that the Federal Communications Commission for at least the first time that I can recollect has come out and essentially said the local broadcasters now compete against essentially everybody. So the Federal Communications Commission now subscribes to that view, which is obvious in terms of the reality of it. Sooner or later, the Justice Department, it seems to us, is going to have to get aligned with the reality of the marketplace. Currently, they – in our view, they are not aligned with realities of the marketplace. And I think, it's incumbent upon them, and the folks over there to kind of really pay attention to what's going on in the real world.
Alexia S. Quadrani - JPMorgan Securities LLC: Okay, that's very helpful. Thank you very much.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you.
Operator: Our next question comes from the line of Barton Crockett with FBR. Please proceed with your question.
Barton Crockett - FBR Capital Markets & Co.: Okay. Thank you for taking the question. I guess, one question that I was interested in your view on was the proposal around the NextGen TV that's going to be, I think, part of the November 16 hearing at the FCC. Does that proposal outline a transition that's consistent with what you would hope for? And as part of that, I think you now have the ability to include NextGen TV and retrans negotiations in an ability to have maybe your simulcast 1.0 be standard def and your 3.0 be high def. And I was wondering, if you would think that those provisions are significant potentially in the migration path.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So we're very pleased with the order that's come out, the draft order which will be voted on. It really is – it gives the industry a lot of flexibility in deploying, which was our main objective. And in terms of whether negotiating retrans, that was really just a smokescreen put up by the vMVPDs, an anti-competitive smokescreen that the FCC did not fall for. So we don't see this migration affecting retrans whatsoever. And it's just important to give broadcasters flexibility in terms of resolutions, as you mentioned to affect this transition, as what we're going to do is we're going to stack up signals, more signals on our 1.0 signal and free up signals to convert to 3.0. So that both TVs, new and old TVs can be supported simultaneously.
Steven M. Marks - Sinclair Broadcast Group, Inc.: So the thing to remember here and appreciate this transition versus the previous transition of analog to digital is that the Federal Communications Commission set aside individual channels for us to transition to. They are not doing that here because there isn't enough real estate left. So the broadcasters have literally gotten together and on a market-by-market basis will work through the transition details to accomplish the end result that we're looking for.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Yeah. And so the punch line on this order is that the FCC recognized this and gave the broadcasters the flexibility to have a market-driven answer, which is a win for us from our perspective.
Barton Crockett - FBR Capital Markets & Co.: Okay. That's helpful. And then one other question if I could on the recent affiliation renewals that you've done with some stations with FOX and others. Do those have any notable – do they reflect any notable change in effectively what you're paying in reverse comp as a percentage of retransmission income? Is there any meaningful change that's come through?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So what we do on that question is point to our guidance in terms of net retrans growth, which Lucy can reiterate here. And so, that's built into our guidance, our expectations of increases in reverse retrans. And reverse retrans has been increasing, but on a dollar basis, gross retrans has been increasing faster. That's why our net retrans is (30:42). And those most recent deals are consistent with that trend. So we've been able to absorb the appearance of reverse retrans, which really only got started about five years ago. Gross retrans started about 12 years ago and we've been able to do that while still growing our net retrans every single year.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: That's right and we really have not changed our guidance that we've had out there. So and this is really a reflection of when the contract terms come up on the network side versus the MVPD side, but next year, we're looking to grow single digit percent and then in 2019, to grow in the teen percent.
Barton Crockett - FBR Capital Markets & Co.: Okay. Great. Thank you.
Operator: Our next question comes from the line of Aaron Watts with Deutsche Bank. Please proceed with your question.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Hi. Thanks. Just a couple for me. One quickly on core advertising, you talked about your expectations for growth of mid single-digits in the fourth quarter, which I believe is, probably the best we've heard from you this year. Any further thoughts on, what's driving the improvement, and do you think it's sustainable rolling into the new year despite some policy uncertainties in Washington?
Steven M. Marks - Sinclair Broadcast Group, Inc.: Yeah, I think it's been a low single-digit business recently. And if you take a look at fourth quarter coming off of political, I think we're pretty much exactly where we had hoped to be. Auto remains very stable. When you take a look at our performance in third quarter, you have an Olympic factor there as well as the hurricanes and we were just a pinch off where we had hoped to be. Fourth quarter, we're pacing positive auto. We'll finish the year positive auto. I think that it bodes very well for core advertising. Some of the categories that are consistently doing well, both third and fourth quarter, are services, entertainment, fast food, media, drugs, religion, and we're seeing some very healthy increases in some of these categories. On the downside, we have a little bit of softness in retail. You're reading about that, it's mostly department store driven. We did a little bit better in the furniture business in fourth quarter than we did in the third. School business, as we mentioned, we lapped. So, I think, going into fourth quarter we're in really good shape. You got two major events to lead off the year, it's an Olympic year. You also have in the course of the year, the World Cup. This usually bodes well for auto advertising that wants to be in those special events. So we are optimistic that the core business will continue to be okay for 2018.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay, that's helpful. Thank you. And then just a couple on Tribune. Since your last earnings call, I'm sure you've had further time to dig in on the assets there and strategize on the potential of the combined platform. As you stand today, can you speak about maybe what you're most excited about, and where you see the most potential on a combined basis, perhaps, touching on not only the distribution platform but also your content capabilities?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Sure. So we're as excited about Tribune as we ever have been. The more we learn, the more we like. Our synergy target, it's been reaffirmed several times, so I won't get into that. We think that's sort of slam-dunk near-term target that we'll hit. And in the longer-term, as we look at this platform, and what it can do together, we're very excited about prospect of network selling, which was built into our medium-term synergies. We're getting more and more excited the more we dig into that. On the digital side, we think there's huge upside. Just to give you an example, Tribune doesn't even have a digital agency business, it doesn't exist. And consequently a start comparison would be our mobile market, it does more in digital than Tribune does in New York, LA, or Chicago. So that sort of upside and our best-in-class digital capabilities, we think, are a potent mix. And of course, WGNA is going great, well ahead of what we had thought when we announced. They went ahead on their own and restructured, moved away from the high cost originals already into lower cost originals. So far, ratings are up, ad revenues up and it won't have a huge impact on 2017. But it's going to set up nicely for 2018. And that was just really great news from our perspective, we didn't have to do the heavy lifting. They went ahead and did that for us. And then we're getting – we're also very excited about the near nationwide news coverage footprint that we will have with Tribune. And we're starting to look at new models that will facilitate things like personalized news channels. And once you have that big of a news presence, it opens up a lot of avenues for new models to be explored. So as we dig in and there's just more and more upside, and actually I'll also mention on the station side, which is an area we really weren't able to do a lot of work on prior to announcement and still are somewhat restricted until we get DOJ approval. But from what we've seen there, we think there's significant upside at the station level as well.
Aaron L. Watts - Deutsche Bank Securities, Inc.: Okay. And Chris, to the extent the regulators want some pruning of the portfolio or at least tweaking of it, do you think you might be able to satisfy them with swaps that can maybe enhance the portfolio versus just outright sales of those stations that they may call out?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Absolutely. Swaps are on the agenda. We have our process ongoing. We've received our first round bids already, many of those did include swap alternatives. Some of which included in-market swap alternatives, which can be very accretive as we've discussed in terms of cost savings within the market. So that absolutely could be part of the solution here. So as we've said many times, we don't really think there's really a defendable reason that we'd have to sell any of these stations, when you really look at it from an economic perspective.
Aaron L. Watts - Deutsche Bank Securities, Inc.: All right. Great. Thanks for the time.
Operator: Our next question comes from the line of Dan Kurnos with The Benchmark Company. Please proceed with your question.
Daniel L. Kurnos - The Benchmark Company, LLC: Great. Thanks. Good morning. Steve, I just want to drill down a little bit into some of your comments around auto. Obviously, you have the hurricane impact, it's pacing up in Q4. Can you just talk a little bit about what you're seeing from local dealer inventory levels? Are you seeing any uptick in incentives post-hurricane, did it clear out inventory? You mentioned the World Cup, the U.S. isn't in it unfortunately next year, so I don't know if that – how you're viewing that. And then, obviously, we've had record ratings in the World Series and is that acting as a tailwind?
Steven M. Marks - Sinclair Broadcast Group, Inc.: Yeah. I think, when you take a look at the automotive category, for the last two quarters, our performance has been driven by dealer group money and we're up significantly on the dealer group category. And in terms of foreign and domestic auto, we are a hair away from being flat. So right now we're being driven by dealer group money. I think you could probably expect that to continue at least into first quarter. In terms of the opportunities for next year, the Olympics always do attract that category. And even though the United States unfortunately will not be participating in the World Cup, it will not stop auto advertisers from participating in that category. And we should realize additional revenues in that category because of that. So, again, overall, we're clearly dependent on this category. We've had a, what I would believe, a very consistent 2017 with it. We are going to finish on the plus side in 2017 in this category, and that bodes well for 2018.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Overall supply is steady at about 65 days.
Daniel L. Kurnos - The Benchmark Company, LLC: Got it. And then just in general, actually – one more housekeeping question just on the Q4 guide because maybe this is part of it. There – well, two pieces, one on Tennis, obviously, there's some seasonality there. So if you could just give us a sense of kind of the new distribution wins that you've announced and kind of the timing of that with the vMVPDs versus the seasonality, how we should be thinking about Tennis in Q4? And then on political, the Q4 political guide was a little bit lower than we were anticipating since you had some exposure to some of those special races. So can you give us an initial thought on how 2018 is shaping up? You've obviously got the national FOX stations, so that should be a tailwind. And can you give us a pro forma political with Bonten for 2014, so we have a clean comp there?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So on the Tennis side, the new deals with virtual MVPDs have not had any impact yet, again, just as I commented on the core business, I expect those to start contributing in the quarters to come. And we don't have any deals up on the Tennis side until next year, where we can step up distribution again. And then in terms of seasonality on Tennis, yes, Q4 is one of its weaker quarters.
Steven M. Marks - Sinclair Broadcast Group, Inc.: On the political side, we met our expectations in fourth quarter politically. And as it pertains to 2018, I think we're sitting in a really robust situation. We have senatorial races and gubernatorial races in our sweet spot. Our sweet spot is Florida, Ohio, Pennsylvania and Nevada. And we'll enjoy those races both senatorial and gubernatorial in 2018. So those races in those markets are tailor-made for us and we're looking very much forward to a robust political season in 2018.
Daniel L. Kurnos - The Benchmark Company, LLC: And the comp, do you have the pro forma comp with Bonten?
Steven M. Marks - Sinclair Broadcast Group, Inc.: In 2014, with Bonten, it was $154 million.
Daniel L. Kurnos - The Benchmark Company, LLC: Got it. All right. Thank you.
Steven M. Marks - Sinclair Broadcast Group, Inc.: Thank you.
Operator: Our next question comes from the line of Kyle Evans with Stephens. Please proceed with your question.
Kyle Evans - Stephens, Inc.: Hi, thanks. You guys posted strong digital growth of 55% in the quarter. I think in the commentary, you mentioned that your base business there was 30%, which would have been in line with the prior period. Could you give us kind of what it is that's kicking in and inflecting that number?
Steven M. Marks - Sinclair Broadcast Group, Inc.: Yes. First is everything dovetails off our CMS that we build proprietarily in-house with our product team, that allows for speed in upload of our content as well as the ad load. And we've just distributed new apps in third quarter and we've seen significant increase of new users. So the technology is keeping pace with what the users are looking for, which enhances our revenue opportunities.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: What also is driving that is a continuous top grade of our digital agency products and momentum there in terms of selling on an integrated marketing basis.
Kyle Evans - Stephens, Inc.: Great. You mentioned normal operating expenses on the broadcast side down. Where are you getting those expense controls and reductions specifically?
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: So some of that will come from just not having the political revenues, the variable rate commissions will be down. Others are really just us, as you know we've always been a expense-focused company, and try to run lean for our shareholders. So, it's really just spread out to a lot of other departments.
Kyle Evans - Stephens, Inc.: Okay. Thank you.
Operator: Our next question comes from the line of Leo Kulp with RBC. Please proceed with your question.
Leo Kulp - RBC Capital Markets LLC: Good morning. Just two questions on the deregulatory – on the regulatory side. Some of your peers have talked about the intermarket dereg as being a big opportunity. Given that you already have so many duopolies, how are you thinking about Sinclair's ability to create incremental duopolies?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So, we do have many duopolies, just actually cleaning some of those up is a nice opportunity for us, not having them in JSA structures. But also I'd note that our overall average share is in the low-20%s on a TV broadcast market definition only, which as I mentioned is a very antiquated way to look at it. So, but it gives you an idea of the potential to add additional stations into the mix. And we think the opportunity will be significant once we get the new rules from the SEC solidified. And then – and, of course, a more flexible market definition from the DOJ.
Leo Kulp - RBC Capital Markets LLC: Got it. And then, on the – the FCC eliminated the main studio rule. Does that present an opportunity for cost savings as you look out to next year?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So we're just going through that right now. I think, there will be some optimization that can happen, but I don't expect that to be significant.
Leo Kulp - RBC Capital Markets LLC: Got it. Thank you very much.
Operator: Our next question comes from the line of Davis Hebert with Wells Fargo. Please proceed with your question.
James Davis Hebert - Wells Fargo Securities LLC: Good morning everyone. Thanks for taking the questions. I know you have committed financing for the Tribune deal, but just with the moving parts of potential station sales, spectrum proceeds, do you anticipate any change to your total financing need? And then, secondly any sense of timing and mix of the permanent financing for Tribune and whether that could be secured or unsecured?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: So, we don't anticipate raising a different amount. We're going to have to actually do the raising before we know what the results of the – of any divestitures may be. So to the extent that divestures do happen, we will use those to pay down debt, but for now, we're moving forward on a fully loaded basis.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Well, if I can make one other comment to that. So, it is, if you recall in June, the Tribune bondholders consented for us to assume their notes. And so, there is $1.1 billion of their notes that we'll be assuming that we won't have to raise.
James Davis Hebert - Wells Fargo Securities LLC: Okay. Thank you for that. And then secondly, Nielsen, earlier this week, had their earnings and they were talking about some improvements they've made or they plan to make on the local measurement side and I think there's been reports, you guys might look at comp score and – as a potential other option, and I know you've talked about ATSC being a big boost for measurement from your perspective. So I'm just curious how you're thinking about local measurement, whether Nielsen is making strides there or not.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: Neilson is trying to improve what is a very antiquated product, in our opinion, not nearly fast enough. And the reality is there's so many other sources of measurement that either exist or are coming. I'll just give you an example of a company that we're the lead strategic investor in called Sorenson Media is lighting up its platform, which will access about a third of all the households in the country and be able to measure second by second what every one of those household is watching. So when you think about that in the context of what Nielsen does or you think about ATSC 3.0 sending back data on what people are watching, it just – it makes Neilson's product look very old fashioned. And so at the end of the day, we're sort of moving on in terms of where technology is headed.
Steven M. Marks - Sinclair Broadcast Group, Inc.: I think the thing to appreciate about ATSC 3.0 is just to appreciate what the Holy Grail is for the advertiser, which is I want to know what person and where is watching. And there's no other service out there that can provide this capability. ATSC 3.0 will provide this capability on a device by device basis, geo located, which is up and running. So that's the Holy Grail for the industry.
James Davis Hebert - Wells Fargo Securities LLC: Okay. Thank you so much.
Operator: Our next question comes from the line of Barry Lucas with Gabelli & Company. Please proceed with your question.
Barry L. Lucas - Gabelli & Company: Thanks very much Thanks very much, and good morning. Chris, if I could come back to the regulatory issues and just wonder how the rules as they've been proposed now for the November meeting affect, alter or change your thoughts or – with regard to divestitures.
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: We went down this road assuming status quo on FCC rules. So it really doesn't affect our divestiture plan. That is going to be driven by the DOJ's result. And at the end of the day, the FCC rules are helpful, and certainly we're very pleased but that's more of a long-term – a longer-term impact in terms of what we can do subsequent to Tribune.
Barry L. Lucas - Gabelli & Company: Okay, thank you. And have there been any new additions to the consortium for ATSC 3.0?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: We have not announced – well, there's been some smaller additions, some affiliates, which is always nice to roll up. We do have some bigger broadcasters, which we'll be looking to join and so you'll see more announcements coming on that shortly. We've made a lot of progress on the spectrum consortium in terms of getting the organizational docs set, figuring out resources and leadership. So good progress made on that front, dovetailing with the FCC rule. So more to come on that.
Barry L. Lucas - Gabelli & Company: Okay, we'll look forward to that. And last one on ATSC 3.0, the release this morning and the announcement of more design work on chipsets for devices. At what point do you think you might be able to share what the intellectual property that you control for ATSC 3.0 is worth?
Christopher S. Ripley - Sinclair Broadcast Group, Inc.: That process has just gotten underway. MPEG LA organized some of the first meetings around the patent pool related to ATSC 3.0. Our patents are literally still getting issued. It feels like sort of every week one comes through the door. And so it's – we're newbies to this process, we didn't do the ATSC 3.0 work to gain a revenue stream, that's just sort of a happy outcoming of pushing the standard that we thought would benefit the assets that we hold in the industry writ large. But there will be something that comes out of that, and we have hired experts to help us through this process. I still – it's hard to predict how long it takes these negotiations to play out, with the various patent pool participants. It's not something in the near-term I'd expect to have visibility on, but it's like in other words, I don't think we'll know any time in the next 6 to 12 months, but after that, we might actually gain some visibility.
Barry L. Lucas - Gabelli & Company: Great. Thanks for that.
Operator: Thank you. We have reached the end of the question-and-answer session. Ms. Lucy Rutishauser, I would now like to turn the floor back over to you for closing comments.
Lucy A. Rutishauser - Sinclair Broadcast Group, Inc.: Thank you, operator. Before you disconnect, let me just say that we are very excited for the upcoming prospects for ATSC 3.0 deregulation, tax reform, and a strong 2018 political season, all of which are expected to drive higher valuation for our shareholders and improve our company's relevancy in the marketplace. Thank you for participating on our earnings call this morning. And if anyone has any additional questions, please feel free to contact us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.